Operator: Good morning, everyone, and welcome to the Fourth Quarter and Full Year of 2020 Earnings Conference Call for LightInTheBox Holding Company Limited. Today's conference is being recorded. At this time, I would like to turn the call over to Mr. Rene Vanguestaine for opening remarks and introductions. Please go ahead, sir.
Rene Vanguestaine: Thank you, Annie. Well, hello, everyone, and welcome to the call. The company's earnings results were released earlier today and are available on the company's IR website as well as through PR Newswire. Today, you will hear from our CEO, Mr. Jian He, who will give an overview of the company's strategies and recent developments, followed by Ms. Yuan Jun Ye, our Chief Financial Officer, who will go over financial results. Together with them today is Wenyu Liu, our Chief Growth Officer, all will be available for Q&A at the end. Before we proceed, I would like to remind you of our safe harbor statement. Please note that the discussion today may contain certain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. To understand the factors that could cause results to materially differ from those in the forward-looking statements, please refer to our Form 20-F filed with the Securities and Exchange Commission, on May 1, 2020. We do not assume any obligation to update any forward-looking statements, except as required under applicable law. At this point, I would like to turn the call over to Mr. He. Mr. He, please go ahead.
Jian He: Thanks, Rene, and thank you, everyone, for joining us today. We ended 2020 with the strongest quarter ever in terms of revenues, which grew by 78% year-over-year to $133 million. For the full year of 2020, total revenues reached $398 million, up 63% from 2019, an all-time high in our operating history. Fueled by robust top-line performance, our profitability also improved significantly. Adjusted EBITDA and net income in 2020 reached $22.8 million and $13.3 million, respectively, in comparison with adjusted EBITDA loss of $9.1 million and net income of $1.1 million in 2019. The fourth quarter is generally the biggest even for retail sales. During this past record-breaking fourth quarter in the financial year, we delivered over 12 million to 37 million product respectively consumers worldwide. It should be noted that due to the increase of orders in the fourth quarter of 2020, we have orders that was approximately $18 million in transit at the 2020 year-end compared with approximately $8.8 million as 2019 year-end. The $18 million worth of orders will be recognized as revenue in our first quarter 2021 upon customers' acceptance on delivery. One more highlight I would like to mention is our total cash balance at 2020 year-end increasing by $25 million from the end of 2019. Apparently, I was appointed as CEO of our company in December 2018. I emphasized the 2 key aspects to turn the big sale round after 6 years of the consecutive losses since LightInTheBox IPO in 2013. One aspect was to keep improving operational decisions to control costs and the narrow losses. The other was to build a stronger foundation for cross-border e-commerce. Our records including the upgrading the supply chain to lower product ranking and to provide the best value for money products, reducing logistics shipping duration to increase procurement fee and investing in R&D to provide a better user experience for both customers and the suppliers. We have increased our R&D investment from $10.6 million in the past year of 2018 to $17.9 million in 2019, the first year we have managed as breakeven, our operating history, our revamped strategy and R&D investments have resulted in our improved financial performance. In the second quarter of 2019, adjusted EBITDA went positive for the first time. The U.S. GAAP net income tend positively from the third quarter of 2019. In the recent full year of 2020, this is record-high total revenue of $398 million, with $22.8 million in adjusted EBITDA. We are now on the run rate for sustainable and healthy growth. So from this year onwards, there, we will still be disciplining on cost side, our top priority will be our revenue growth and the improving the overall user experience. As people increasing interest their digital economy, the e-commerce [indiscernible] is online shopping around the world, we see huge market potential. We can see that the growing market opportunity to enlarge our customer growth, better engage with our existing customers by continuously optimizing our supply chain and the product mix. And therefore, better pursue and drive customers and their demands, our stringent selection process on suppliers and quality checks on products will help us spread our offering in the long run and provide a better customer for this section, which translated into higher repeat purchase rates that can effectively bring down our marketing costs. At the same time, we will continue to strive for higher user engagement by investing in our R&D team. We aim to provide a seamless shopping experience that integrates across our websites and the apps. The increased average basket size by improving the accuracy of our product recommendations with such results. Technology can also help us support the latest returns in the prebid of consumer demand, which will help our suppliers plan production better. Our R&D capability is a core order for maintenance that allow us to better serve our customers and support long-term growth. In summary, we will continue to push forward our proven strategy to better strengthen our product portfolio and enhance the customers showing experience. Most importantly, we will continue to focus on revenue growth while keeping our front an eye on profitability and enhanced user experience this year. I will now hand the call over to Yuan Jun to go through the financial results.
Yuan Jun Ye: Thank you, Mr. He, and thank you, everyone, for joining the call. I will now review our financial results of the fourth quarter. Let me remind you that all numbers ported are in U.S. dollars. Total revenue was $132.7 million, up 77.7% year-over-year from $74.7 million in the same quarter of 2019. This was mainly driven by strong growth in product sales, which were $129.5 million versus $71.7 million in the same period in 2019, and the growth in services and others, which were $3.2 million, compared with $3 million in the same quarter of 2019. Due to the increase of our orders, over $18 million worth of orders were in transit at the end of the fourth quarter of 2020. This has doubled to approximately $8.8 million at the end of 2019. This revenue will be recognized during the first quarter of 2021 among customers' acceptance on delivery. Gross profit was $59.6 million, compared with $30.2 million during the same period last year. Gross margin was 44.9% compared with 40.4% the same -- same quarter of 2019, primarily due to our consumer efforts to optimize the supply chain and product mix. Total operating expenses were $62.3 million, compared with $34.5 million during the same quarter of 2019. The increase was primarily due to an increase in selling and marketing expenses. Of operating expenses, fulfillment expenses were $8.8 million, compared with $8 million in the same quarter of 2019. As a percentage of total revenue, fulfillment expenses were 6.7% compared with 10.7% in the same quarter of 2019 and 6.7% in the third quarter of 2020. Selling and marketing expenses were $44 million, compared with $17.9 million in the same quarter of 2019. As a percentage of total revenue, selling and marketing expenses were 33.1% compared with 23.9% in the same quarter of 2019 and 26.9% in the third quarter of 2020. G&A expenses were $10.5 million, compared with $8.8 million in the same quarter of 2019. As a percentage of total revenues, G&A expenses were 7.9% compared with 11.8% in the same quarter of 2019 and 7.9% in the third quarter of 2020. Included in the G&A expenses, R&D expenses were $4.8 million, compared with $4.6 million in the same quarter of 2019 and $3.5 million in the third quarter of 2020. Net loss was $3.2 million, compared with net income of $12.5 million in the same quarter of 2019. Net loss per ADS were $0.03 compared with net income per ADS of $0.17 in the same quarter of 2019. Adjusted EBITDA, which represent loss from operations before share-based compensation expense, change in fair value of convertible promissory notes. Interest income, interest expense, income tax expense and depreciation and amortization expenses were $0.5 million in the fourth quarter of 2020 compared with $2.6 million in the same quarter of 2019. As of December 31, 2020, we had a cash and cash equivalents and restricted cash of $65.5 million, compared with $48.2 million as of September 30, 2020. Now let me walk you through our 2020 full year financials very briefly. Total revenue increased by 63.4% year-over-year to $398.2 million. Revenues generated for product sales were $382.1 million, compared with $236.7 million in 2019. Revenues from services and others were $16.1 million to $6.9 million in 2019. Gross profit for the full year was $176.2 million, compared with $97.6 million in 2019. Gross margin was 44.2% for the full year of 2020 compared with 40.1% in 2019. Total operating expenses for the full year was $172.3 million, compared with $113.6 million in 2019. Net income was $13.3 million, compared with $1.1 million in 2019. Net income per ADS was $0.12 compared with $0.01 in 2019. Adjusted EBITDA was $22.8 million for the full year of 2020 compared with a loss of $9.1 million in 2019. Cash balance, including cash, cash equivalents and restricted cash increased by $25.1 million from $40.4 million at December 31, 2019, to $65.5 million in December 30, 2020, mainly contributed by operating activities. Finally, for the first quarter 2021 guidance based on information currently available and business seasonalities, we expect total revenues to be between $110 million and $125 million, representing a growth rate between 114% and 143% compared with the first quarter of 2020. This concludes our prepared remarks. At this point, we are ready to take some questions. Operator?
Operator:
Rene Vanguestaine: Thank you, Annie. This concludes our conference call. Thank you for your participation and ongoing support of LightInTheBox. We look forward to provide updates of our business in the coming weeks and months ahead. Have a good day. Goodbye.
Operator: Thank you. Ladies and gentlemen, that concludes the conference for today, and thank you for participating. You may now all disconnect.